Operator: Good morning, and welcome to the Archer Daniels Midland Company Fourth Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Mr. Case McGee, Vice President, Investor Relations for Archer Daniels Midland Company. Mr. McGee, you may begin.
Case McGee: Thank you, Jennifer. Good morning, and welcome to ADM's Fourth Quarter Earnings Conference Call. Before we begin, I would like to remind you that we are webcasting this presentation on our website, adm.com. The replay will also be available at that address. For those following the presentation today, please turn to Slide 2, the company's Safe Harbor statement, which says that some of our comments constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. These statements are based on many assumptions and factors that are subject to risks and uncertainties. ADM has provided addition information in its reports on file with the SEC concerning assumptions and factors that could cause actual results to differ materially from those in this presentation. And you should carefully review the assumptions and factors in our SEC reports. To the extent permitted under applicable law, ADM assumes no obligation to update any forward-looking statements as a result of new information or future events. On today's call, our Chairman and Chief Executive Officer, Pat Woertz, will provide an overview of the quarter. Our Chief Financial Officer, Ray Young, will review financial highlights and corporate results. And our Chief Operating Officer, Juan Luciano, will review the drivers of our operations' performance, provide an update on key accomplishments in 2013 and discuss some of the factors that will influence results in the first quarter and throughout 2014. Then they will take your questions. Please now turn to Slide 3. I will turn the call over to Pat.
Patricia A. Woertz: Thank you, Case, and welcome, everyone, to our fourth quarter conference call. This morning, we reported fourth quarter net earnings of $374 million or $0.56 per share on a diluted basis. Our fourth quarter adjusted EPS was $0.95. Segment operating profit was just over $1 billion, while -- and when excluding specified items. I'm very proud of the team as they delivered a strong finish to the year. Lower corn costs and improved ethanol margins helped to support a significant improvement in our Corn business. Our great Oilseeds performance was driven by our ability to meet robust global demand for meal and by improved biodiesel results in both North America and Europe. However, our Ag Services business was impacted by the slow U.S. farmer-selling of corn and challenges in our international merchandising. Looking back on the year, the team made meaningful progress on our efforts to improve costs, cash and capital management. We are ahead of schedule in our cost-saving efforts. We've completed our 2-year program to unlock cash from our balance sheet. We carefully managed capital spending in 2013 and announced a balanced capital plan for 2014. Looking ahead, we continue to see strong global demand for our products and large global crop supplies. We expect continued good utilization of our North American network until South America's large harvest reaches global markets. Now I'll turn the call over to Ray.
Ray G. Young: Thanks, Pat, and good morning, everyone. Slide 4 provides some financial highlights for the quarter and the calendar year. Adjusted EPS for the quarter was $0.95 per share compared to $0.60 last year. Excluding specified items, segment operating profit was over $1 billion, up 33% compared to last year. The effective tax rate for the calendar year was 33% compared to 30% in the prior year. This year's calendar rate was negatively impacted by valuation allowances on various deferred tax assets and a shift in the geographic mix of earnings, partially offset by some favorable income tax adjustments related to U.S. biodiesel tax credits. Excluding these factors, the effective tax rate for the calendar year was 30%. And for 2014, the company's planning its effective tax rate at around 30%. Our trailing 4-quarter average adjusted ROIC of 6.6% was slightly below our WACC of 6.7%. During the fourth quarter, the 6.6% adjusted ROIC reflected an improvement of 90 basis points from the third quarter adjusted ROIC. But the fourth quarter WACC of 6.7% was also up by 50 basis points from the third quarter and 140 basis points from last year at the same time due to a combination of higher interest rates and a stronger ADM stock price. As we expected, the ROIC versus WACC spread turned solidly positive in the fourth quarter, with a static quarterly spread well in excess of 200 basis points, driven primarily by improvement in earnings. On Chart 18 in the Appendix, you can see the reconciliation of reported quarterly earnings of $0.56 per share to the adjusted earnings of $0.95 per share, as well as a reconciliation for the calendar year. For this quarter, LIFO was immaterial. After-tax charges related to GrainCorp of $167 million or $0.25 per share included $155 million of impairment as we marked our remaining 19.8% investment to the December 31 value and $12 million in after-tax expenses related to unwinding FX hedges on the planned share acquisition and GrainCorp transaction-related fees. Asset impairment charges of $0.11 per share were recognized related to a variety of asset write-downs, including an impairment of $0.08 per share related to our investment in a Brazilian sugar mill. We had a series of tax adjustments that included a charge of $0.12 per share related to valuation allowances on deferred tax assets and a favorable income tax adjustment of $0.13 per share resulting from a ruling regarding the income tax treatment of U.S. biodiesel blenders credits earned in prior quarters back to 2011. And we had an unfavorable quarterly tax rate adjustment of $0.03 per share related to truing up the previous quarters' lower tax rates to our final fiscal year rate, which was higher. For the calendar year 2013, we finished with reported EPS of $2.02 and adjusted EPS of $2.33. Our adjusted EPS was slightly higher than the 2012 calendar year number of $2.30. Slide 5 provides an operating profit summary and the components of our corporate line. I would like to highlight some unique or specified items in the operating results before Juan talks about the segment results. Juan's discussions will exclude the specified [ph] items so that you can understand the underlying trends in the business. In the Oilseeds segment, mark-to-market timing effects in cocoa resulted in charges of approximately $20 million for the quarter versus about $5 million in the same quarter last year. In the Corn segment, we're separating out corn hedge ineffectiveness gains and losses. For this fourth quarter, hedge ineffectiveness losses we had in prior quarters reversed themselves, and we brought into results $25 million of hedge ineffectiveness gains. By the way, for adjusted EPS, we have never treated corn hedge ineffectiveness as an adjustment item in the past nor we -- did we treat it as an adjustment item in this fourth quarter. In addition, we recorded an impairment charge of both pretax and after-tax of about $50 million related to our Brazilian sugar mill based upon an updated assessment of the future cash flows of this investment. And there were also some minor impairments recorded on U.S. assets as well. In the Ag Services segment, adjusted results excluded $155 million of GrainCorp impairment charges in this fourth quarter compared to a $62 million gain related to our share acquisitions through a total return swap structure in last year's fourth quarter. Now let me touch on a few items of significance in the corporate line. In the fourth quarter, interest expense was lower due to lower borrowings. Unallocated corporate costs were up due to some higher year-end accruals differences and higher share-based compensation expenses. Other charges of $57 million in the fourth quarter include the loss on the FX hedges on GrainCorp and some miscellaneous charges in Europe and North America. By the way, of the $57 million, about $40 million was treated as an adjustment item for adjusted EPS. Prior to cost allocations, our total corporate SG&A expenses for calendar year 2013 were comparable to calendar year 2012 after we take into account the unique items. Turning to the cash flow statement on Slide 6. We present here the cash flow statement for the 12 months ending December 31, 2013, compared to same period the prior year. We generated $2.3 billion from operations before working capital changes in the 12 months ending December 2013 compared to $2.4 billion last year. Working capital changes were a source of $2.9 billion of cash in the period compared to last year, when they were near 0. Total capital spending for the 12 months was at $913 million, and acquisitions amounted to $44 million, for a total spend of $957 million, slightly below our planned target of $1 billion and lower than our 2012 spend of $1.3 billion. After changes in working capital and investments, our free cash flow for fiscal year 2013 was over $4 billion compared to $1 billion in 2012. Our cash flows in 2013 benefited from lower commodity prices and our focus on cash flow generation. Lower commodity prices represented about $1.6 billion of cash flow generation in calendar year 2013. With strong cash flows, we're able to reduce strongs on our working capital lines, such as commercial paper borrowings. We did not repurchase shares during the fourth quarter as we were blacked out due to the GrainCorp transaction and then, subsequently, the development of our 2014 capital plan. With respect to our capital plan, in December, we announced a dividend increase of 26%, from $0.19 a share to $0.24 per share, that will be payable starting on March 13, 2014, and the intent to repurchase 18 million shares by the end of 2014 that would totally offset the remaining equity unit dilution plus dilution from benefit plan issuances in 2013 and 2014. This is part of our balanced capital allocation strategy, where in 2014 we plan to return to shareholders about $1.4 billion in the form of dividends and share buybacks and reinvest $1.4 billion into the business in the form of capital spending and small M&As. We finished out the quarter with an average of 663 million shares outstanding on a fully diluted basis. Slide 7 shows the highlights of our balance sheet as of December 31 for both 2013 and 2012. Cash on hand was approximately $3.6 billion, up about $1.3 billion from the prior year. Our operating working capital was slightly below $11 billion, down from the $14 billion level last year or a reduction of $3 billion. Of this reduction, about $400 million was related to lower quantity of inventory. Total debt was about $6.9 billion, resulting in a net debt balance, that is debt less cash, of $3.3 billion, down significantly from the 2012 level of $7.3 billion. Our shareholders' equity of $20.2 billion is slightly over $1 billion higher than the level last year. Our ratio of net debt to total capital, that is excluding cash from gross debt, is 14%, much improved from the December 31, 2012, level of 27%. Our focus on capital efficiency and generating cash from the assets is translating into a strong balance sheet as well. We had $6.6 billion in available global credit capacity at the end of December as we reduced our revolving credit facilities by $2 billion due to the strength of our balance sheet and the lack of need due to the GrainCorp acquisition not moving forward. If you add available cash with access to slightly over $10 billion of liquidity at the end of the calendar year, we'd clearly have a balance sheet that is strong enough to support the 2014 capital plan that was announced in December, plus support any strategic M&A opportunities that may present itself in the future. Next, Juan will take us through an operational review of the quarter.
Juan Ricardo Luciano: Thank you, Ray, and thank you all for joining us this morning. I will start with segment operating profit on Slide 8 and then move on to discuss the 3 major segments. In the fourth quarter, the team delivered improved profit overall. We had some record performances and also identified some areas for aggressive improvements. Our underlying segment operating profit was up by more than 1/3 year-over-year and up more than 60% sequentially. For the full year, segment operating profit was up over the prior year. This was a challenging year but a productive one. And we are restarting to see the results of the team's effort over the past few years to improve our earnings power. Slide 9, please, starting with the Oilseeds team, who continue their strong performance with very good results in both South and North America. In North America, strong export and domestic demand drove excellent soybean crushing capacity utilization and good margins. In Brazil, our soybean processing operations saw good volumes and margins, and we exported a lot of corn. Our Paraguay crushing plant ran hard and very well. North American biodiesel delivered a solid performance with good volumes. And in Europe, the mild winter led to higher-than-normal biodiesel demand. Our food-ingredient business saw strong results across multiple product lines, with our lecithin and protein specialties businesses delivering record years. Cocoa results were essentially flat as the underlying business has improved. In the 2013 calendar year, a number of businesses within the Oilseeds unit set profit and volume records. The team drove growth of higher-margin businesses, expanded geographically and realigned several groups to improve returns and better serve customers. Slide 10. The Corn Processing team delivered a strong improvement sequentially and over the year-ago quarter. In our ethanol business, lower corn costs, higher U.S. gasoline demand and strong exports supported lower industry inventories and higher margins. We continue to actively manage our production levels to maximize margins and kept advancing our cost-management efforts. In sweeteners and starches, volumes were seasonally solid, and net corn costs improved significantly. In the 2013 calendar year, the Corn team drove a lot of improvements in the ethanol business, implementing cost-management projects, reducing inventories and enhancing risk management. The renewal of chemicals business earned record profits as well and grew their customer base by 50%. This remains a small business but one that has seen steady growth. Moving on to Slide 11. In the fourth quarter, with the North American harvest, Ag Services improved sequentially, but results were lower than our expectations. We saw strong U.S. exports, with November setting an all-time record at our New Orleans terminals. But 3 years of low stocks and recent lower corn prices meant U.S. farmers held onto more of their corn crop than usual, causing bases to remain at historic highs for the fourth quarter. A lower wheat carries also reduced merchandising income. In international merchandising, we saw higher volumes, but merchandising and execution issues really hurt profitability. Transportation results were essentially flat, but good volumes in October were offset by the normal winter weather challenges later in the quarter. Milling performed well, rounding out 4 strong quarters. 2013 was a tough year for the merchandising and handling team. The U.S. team carefully managed the inverse as the U.S. harvest arrived, and they handled large volumes at a number of locations this fall. The performance of our international merchandising business this year was disappointing, so we are implementing aggressive actions to improve results. We're focusing on execution, costs and people. We may not see the impact next quarter, but we're going to stay on top of this, and we're committed to turn it around. As we close out 2013, I wanted to update you on some of our key accomplishments during the year. This is at Slide 12. We remain ahead of schedule in our cost-management efforts. By focusing on technology and standardization, we are more than halfway to our goal of an additional $200 million in cost reductions by the end of 2014. Part of our cost effort is linked with our sustainability initiatives, which include a commitment to a 15% improvement in energy efficiency by 2020. We are well ahead of plan in that effort. And it's in energy markets like these that our investments in energy efficiency are particularly important. In cash, we allot more than $2 billion from our balance sheet between 2012 and the first half of 2013. And in doing so, we elevated the organization's focus on cash generation. We see our cost and cash efforts reflected in our very strong balance sheet. And in capital, we carefully managed our CapEx, investing $957 million in 2013. We also enhanced our commitment to return capital to shareholders. And later this year, we will share with you look-back analysis of some of our past capital investments. Some of the projects we advanced or completed in 2013 included a biodiesel refinery in Canada, our soybean processing facility in Paraguay and a port facility in Northern Brazil. For 2014, we expect to invest about $1.4 billion in CapEx. To give you some context of how this CapEx will be allocated, around $400 million will go towards maintenance, around $100 million will be associated with our ERP project, and the remaining $900 million will be allocated to costs and growth capital projects. More than 60% of gross capital will be targeted outside of the U.S. And finally, we want to discuss some of the factors we think will influence our business in both the first quarter and throughout 2014. World crop supplies, as we discussed last year, the world will have record supplies of corn, oilseeds and wheat. These large supplies will present an opportunity for us to utilize our global storage and transportation assets. They will mean lower cost inputs for our processing operations, and they will make all of our products more competitive versus substitutes. The timing of our U.S. farmer corn sales. How the U.S. farmer decides to market the corn crop will impact merchandising results for our Ag Services business. We're seeing some increase in farmer corn movement in Q1. We're also going to be watching the South American harvest. The last couple of years, logistical challenges have limited the industry's ability to move crops from farms to the world markets. Last year, delays made South American soybeans and meal less competitive globally, reducing exports. This year, we are better prepared for what looks to be a big soybean crop in Brazil. U.S. biofuel dynamics. The biodiesel blenders credit expired at the end of 2013, and the EPA has proposed holding the biodiesel mandate steady in 2014. Lower biodiesel demand could result in some softening of vegetable oil demand. The EPA has also proposed lowering the ethanol obligation for 2014. They are currently considering comments on their proposed rule. We will be disappointed if the government stepped back from their support of this program. Overall, ethanol blending economics remains strong. That should drive some continued expansion of both E15 and E85. Ethanol export competitiveness will depend somewhat on corn prices, but, by and large, U.S. ethanol remains a very low-cost transportation fuel source. The continued growth of some of our smaller businesses. We continue to see opportunities to expand some of our higher-margin businesses, including renewal, chemicals and specialty food ingredients. As Pat mentioned, we see global growth demand for our products. The team will use our global network to deliver for our customers and our shareholders. Pat?
Patricia A. Woertz: Thank you, Juan. So just to summarize the quarter, adjusted earnings at $0.95 per share; lower corn costs helped to drive improvements in Corn; Oilseeds had a lot of success around the world; and Ag Services, both with slow farmer-selling and international merchandising, had some challenges. For the year, real progress on costs, cash and capital management. And looking ahead, we have a balanced capital plan for 2014, a stellar balance sheet, large crops, good demand, lots of needs to serve. So with that, operator, if you could please open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of Tim Tiberio with Miller Tabak.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: My first question is around the Ag Services segment. Juan, you mentioned that it was somewhat disappointing compared to the large crop that came in this quarter, and you're placing some initiatives in place to kind of rectify that going forward. Can you be more specific on what you think needs to be done in the merchandising and handling business to kind of get back to those normalized margins that we've seen in the past? And how much of this is a timing issue versus a structural change in on-farm storage and really preventing the commercial guys to capture some of that historical carry trade?
Juan Ricardo Luciano: Thank you, Tim, for the question. Let me split this in 2 parts, if you will: the grain business and the international merchandising. Overall, Ag Services performed in the lower side -- on the lower end of the range. I mean, when we give a range of maybe $200 million to $250 million, we're hitting the $200 million when you look at adjusted earnings. So lower end of the range, if you give me -- let me give you the 2 reasons. The grain business, the impact on the grain business, mostly on the slow farmer-selling, that I will consider mostly a delay. We saw last year the same thing in South America in the first quarter, and I called that as a delay, then we saw the recovery during the rest of the year. So we think that probably will come to market. We don't believe that in-store -- in-farm storage represents a significant shift. We're still going to see the crop flowing through our assets. And again, that part, you should consider partly a delay. International merchandising was different. It was an issue of performance during the quarter. We had some geographic arbitrage that didn't go our way. And we had some execution issues, whether it was in Brazil or Argentina or Ukraine or China. We have several issues going against us. So we have launched a significant review of our operations. We have taken some of our experts from here, the headquarters, and we've reviewed some of the procedures that we have in the rest of the world, and we even have replaced some personnel. So we have a very aggressive plan in place for this quarter not to be repeated itself. So again summarizing, one, mostly a delay; second is we stumbled, and we will correct that.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. So it's fair to say that once you rectify the situation in the international component and farmers start selling again, there's no reason why you couldn't get back into sell at $200 million to $250 million range based on the size of the crop?
Juan Ricardo Luciano: I agree with your thinking, Tim.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. And then just one last question on the corn sweeteners segment. We've obviously seen some of the industry data around some of the pricing resets. How would you quantify how your negotiations proceeded? Were they kind of in line with some of the industry data that we've seen or have they been a little bit better than expectations?
Juan Ricardo Luciano: Yes, although we haven't closed any -- every single negotiation, so this is a preliminary view, at this point in time, we see stable volumes for North America and declining volumes from Mexico. That's putting some pressure on pricing in this negotiating season.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. So is it a little bit worse than what you were expecting a few months ago, even though corn input costs [indiscernible]?
Juan Ricardo Luciano: Yes, I think, Tim, that on a pricing perspective, pricing are obviously a little bit weaker, responding to this supply-demand dynamics. Obviously, we -- that will be partially offset by lowering corn costs and our management of our footprint and our product mix. But going in, initially, pricing a little bit weaker than we thought.
Operator: And our next question comes from the line of David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: Ray, just one quick comment for you. It's kind of a request or plea. We need a schedule in the press release that has both pretax and post-tax dollars for all of your charges and where they go. That was a nightmare this morning trying to figure out how to allocate this in dealing with these full models. I appreciate what you did give us, but updating a full model was very hard. To my question, it's just related to ethanol. I wanted to ask how many gallons you sold of ethanol in the quarter. And then really kind of the heart of the question here is, what's the sustainability, in your opinion, of these current spot margins? It's kind of exciting. I mean, we haven't seen margins like this since something like 2006. And I'm not exactly sure what's going to knock us off these pretty good margins. There'll be some volatility, but these dynamics seem strong, but I'd like to hear your opinion on the topic.
Juan Ricardo Luciano: This is Juan. As you said, supply-demand fundamentals drove a reduction in inventory during the quarter. And as such, margins responded to that. A combination of factors. With the drop in corn prices, ethanol is a very competitive fuel. So the export demand has been very strong through traditional places and sometimes not-so-traditional places. Domestic demand was okay during the Q4. We've seen a little bit of a drop in domestic demand as the weather gets nastier in January. Obviously, nobody likes to drive in the dark and with icy roads. But we see export demand continue to be strong. So we enjoyed very good margins in Q4, and we are expecting strong margins going into 2014.
David Driscoll - Citigroup Inc, Research Division: Juan, would you agree that you did not fully capture the spot margins in the fourth quarter? And consequently, could we expect margins for realized results at ADM to actually improve with ethanol going forward?
Juan Ricardo Luciano: So many moving pieces, David, in this sense. I think we saw strong margins at times. As I said, during Q4, we saw inventory being reduced. But then, production came back stronger. And with a little bit of a decline in demand in -- on gasoline, overall demand in January, inventories dropped -- stopped dropping, if you will, so it's kind of flattish. So I think you're going to see volatility. It's high volatility still, but with positive margins, so we're optimistic but remain cautious on the volatility of it.
Operator: And your next question comes from the line of Ann Duignan with JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: It's Ann Duignan. Can we step back to Ag Services again just for a moment? I just wanted to clarify something. With the capacity for farmers to store on farm, wouldn't we -- or shouldn't we always anticipate that during the fall as corn price are low, farmers will continue to do this every year, and structurally, through the course of the year, your margins will be lower?
Juan Ricardo Luciano: I think what -- I think, Ann, what we have seen this year is that -- traditionally, the farmers get into this with the beans with some material. But with 3 years of very low crops, what's happened is that all in-farm storage was very depleted. And I think what we've seen is a replenishment of the biplane that we haven't seen in quite a while. So this is not the usual occurrence, if you will.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: But we've seen a significant increase in the amount of on-farm storage, so wouldn't we anticipate it to be a bigger issue going forward in a normal crop year?
Juan Ricardo Luciano: But if you look at the statistics over the last 10 years, production has been growing at 2.2%, while in-farm storage has been growing at 1.1%. So in reality, we're not seeing a significant shift towards in-farm storage versus off-farm storage.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. I'll leave it there and maybe come back offline. A separate question, just more of a philosophical question. For the calculation of return on invested capital, are you including impairment charges or not? And if not, why not?
Ray G. Young: For the adjusted ROIC -- I mean, for the reported ROIC, it includes everything. And for the adjusted ROIC, we did back out the impairment charges there. And the purpose there is just we're trying to reflect a run rate. Our adjusted ROIC calc [ph] is supposed to represent the run rate in terms of returns of our operation.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: And your adjusted ROIC, that's fourth quarter, was that -- is that -- were you pleased with that? Would you like it to have been higher? How should we think about that going forward?
Ray G. Young: A couple of comments, Ann. This is a 4-quarter trailing average. And so, therefore, while it reflects our fourth quarter, it actually reflects the first 3 quarters of the year as well, which, as you know, was negatively impacted by the residual impacts of the 2012 drought. I think what we're encouraged about is the fact that it's turning. So it's actually -- even the 4-quarter trailing average is now turning in the right direction there. And second, when you look at the static ROIC-over-WACC, we're actually encouraged by just looking purely in the fourth quarter on a non-seasonally adjusted basis, it was actually a very good number.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. So all things being equal, we should look forward to a stronger ROIC going into '14?
Ray G. Young: With the 4-quarter trailing average, as we kind of work through the first 3 quarters of 2013, you should start continuing to see improvements in that number.
Operator: And your next question is from the line of Ryan Oksenhendler with Bank of America.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: I just wanted to touch on Ag Services again because the numbers you gave, I guess, the normalized range being $200 million to $250 million, I thought the previous range was $150 million to $200 million on a normalized basis, but that just included the merchandising and transportation business. So can you bridge the gap? Because now you include milling in there, bridge the gap from the $150 million to $200 million to $200 million to $250 million now?
Ray G. Young: Yes, Ryan, that was simply adjustment for the milling, including the milling division as part of Ag Services. So it's really the same range. So the old $150 million to $200 million equals the $200 million to $250 million, and we haven't really updated that range yet. What we're going to do is we're going to see how the segment performs over the next little while. And then maybe by the end of the year, we could probably have an update in terms of what that range would be.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Okay. But is it fair to say that you guys have added some capacity over the last few years and that you've ripped out a decent amount of cost from that business as well, so the range is going to be higher?
Ray G. Young: That's the reason why I say we'll have an update on that range later this year, reflective of the assets that we put into the segment and our improvement in performance in that segment.
Juan Ricardo Luciano: And remember, Ryan, what I mentioned in the last call is that we like to see how the new assets perform under the full crop and that -- before we declare a range. And we haven't seen that as part of the reluctant corn-selling in the U.S. So we haven't seen that yet.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Got it. And so -- I mean, given the size of the corn crop, do you think that -- are you starting to see farmer-selling -- do you expect that to come in the next few months before planting season? Or are they waiting to see what happens with the number of acres they get planted in corn?
Juan Ricardo Luciano: Yes.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Could it be a lot bigger than that number, given that the previous corn crop was 13 billion bushels versus the record crop we had this year?
Juan Ricardo Luciano: We should see a little bit better farmer-selling during -- in 2014. And we expect Ag Services results to improve from what we saw in the Q4 as we go forward and we commercialize the full crop.
Ray G. Young: Yes.
Ryan Oksenhendler - BofA Merrill Lynch, Research Division: Got it. And then just one more. If you could just give a little bit more detail, I mean, I guess, what happened in the international merchandising operations? Like from the execution issues that you had, could you give a little bit more specific detail?
Juan Ricardo Luciano: Yes. They were in different parts of the world. Argentina had some issues with smaller wheat crop and cancellation of exports, so that reduced the volume there. There were some issues in loading in Eastern Europe. There've been some issues with some rejections of boats in China. So I mean, issues here and there. Nothing by itself spectacular or very material, but when you start adding up several issues in a quarter, you get the result. Also, there were not that many merchandising opportunities out there. So when you have a reduced margin per se and then you have execution issues, you end up with the results we ended up with.
Operator: And our next question comes from the line of Robert Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: There's been a lot of currency volatility in the last few weeks, especially with Latin American currencies. And I think your stock has been adversely affected by it and maybe wrongly so. And I want to know -- my perception is that the weaker currencies will improve the affordability of your Brazilian and Argentine crop as you merchandise it globally. But I suspect that there's other challenges as well. So can you just talk a little bit about how you are executing differently in an environment where these emerging market currencies are falling?
Ray G. Young: We've seen -- through the history of ADM, we've seen volatility in currencies, whereby the U.S. dollar is stronger and the U.S. dollar is weaker. We adapt to that, and we adjust to that. Frankly, for our fourth quarter results, currency was really not a factor in our results overall, and so we didn't -- that's the reason why we didn't call it out here at all. In looking at the first quarter, clearly, we've seen some weakness in emerging market currencies. Probably, the thing that we're watching more closely is not necessarily the currency moves but, really, what's happening in these specific countries from a political perspective and whether they put restrictions on imports and exports of grains. And so that's probably a bigger factor that we're watching more carefully than simply the volatility on the currency.
Juan Ricardo Luciano: I think also, Rob, what -- probably the biggest impact is in the psychology of the farmer and what it does to their intentions of selling, like you can see in Argentina now that they see their crop as a protection of value against the potential devaluation. So we're monitoring much more that impact.
Robert Moskow - Crédit Suisse AG, Research Division: I didn't notice anything with Paraguay's currency situation. Does it affect Paraguay at all or the farmer intentions there?
Juan Ricardo Luciano: No, we have been receiving beans in Paraguay. Plants have been running very, very well. So no, we have seen no issues there at all.
Operator: [Operator Instructions] And our next question comes from the line of Ken Zaslow with BMO Capital Markets.
Kenneth B. Zaslow - BMO Capital Markets U.S.: I'll reiterate actually what David Driscoll said. It would definitely be helpful for an expanded P&L on the x-o [ph] items for sure. But I have a couple questions. One is, do you expect operating profit in sweeteners to hold steady in 2014 given the fructose pricing?
Juan Ricardo Luciano: Ken, this is Juan. I think we -- it's a long road ahead. I mean, obviously, we are very early in the year, and there are many, many variables. We -- as I said before, pricing are weaker going in, than we expected. We have to see how much of that will be offset still by lower corn costs. We have some ability to manage our product mix. There are -- some of our products that are doing very well. There's going to be some opportunities because of our competitiveness in costs to pick up some spot export businesses. So all that goes into the pod. But overall, I will say the first indication is on headwind on price.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay, great. The second question I have is the Argentine devaluation, I guess that it makes your products cheaper. But can you talk about the impact of the Argentine devaluation on the merchandising opportunities if -- maybe I'm going too far, but if there's a devaluation, wouldn't you see a lot of the crop out of Argentina move to the market? Would that create a near-term dislocation or just an overflow of exports that might limit the merchandising opportunities or can you work around that? Can you just talk about how you handle something like this?
Juan Ricardo Luciano: Yes -- no. Certainly, when the opportunities come to the market, I mean, we will benefit from that. At this point in time, the farmers continue not to sell their soybean crops. The expectations are that maybe they're going to sell about 20% of that crop by March, so that may be 10 to 11 million tons of material. And certainly, we can easily handle that.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. And my final question is the biodiesel number was extraordinary. Can you talk about the sustainability of this and how we kind of think about the biodiesel number for the going-forward look?
Juan Ricardo Luciano: Sure. As you said, it was extraordinary. And as such, it will probably not repeat itself in the further quarters. You know that, certainly, with the elimination of the subsidy, there was some incentive for people to take advantage on that, and that we saw higher volumes in Q4. So I think we are waiting for EPA numbers, and that will determine a little bit the future of that. But certainly, we could see headwinds, and we cannot reproduce this kind of volumes.
Operator: And our next question comes from the line of Farha Aslam with Stephens Inc.
Farha Aslam - Stephens Inc., Research Division: A question on sweeteners and starches in the quarter. That number, year-over-year growth is very strong, and that's extraordinarily a strong number. Could you just share with us what were the factors that allowed that division to be so strong in this quarter?
Juan Ricardo Luciano: Yes, Farha, this is Juan. Certainly, volumes were good for us, but the most important factor was the reduction in corn costs.
Farha Aslam - Stephens Inc., Research Division: And so going forward, that reduction in corn costs, they're still going to be there. Clearly, pricing will come down into the next year. Perhaps, just going back to Ken's question a little bit, any additional color in terms of -- for the year-over-year number, how should we think about this division, given that this fourth quarter was so extraordinarily strong for you? Or maybe a longer-term normalized look at what you expect this quarter this sweetener and starches business to deliver.
Juan Ricardo Luciano: Yes, the sweeteners and starches business, as I said before, has -- it has more complexity than just the liquid sweeteners. So it's a portfolio of products, and it's very integral to the way we manage our asset flexibility and our product mix. So going into this year versus last year, the industry capacity have not increased. The demand of the volumes is going to be a little bit lower. There is this new soda tax in Mexico that some of the experts are predicting that maybe is going to impact about 5% of volume. There's also -- was a great sugar crop in Mexico that make sugar prices very, very low there. So those are the headwinds that we are seeing. And as I said, that has driven prices in these early negotiations down versus what we expected. Part of that will be offset by lower corn costs. But again, remember, Farha, we make more than 30 products from corn. So our ability to manage that, our ability to procure corn, that gives us an overall sense of profitability at the end of the year, and we've got 11 months ahead of us to turn that around. So again, early indications are some headwinds there, but we still have a lot of levers to pull.
Farha Aslam - Stephens Inc., Research Division: Okay, that's helpful. And then just on bioproducts, you've mentioned that you're operating that business better, particularly ethanol, and that you're implementing increased hedging. Historically, ADM used to be much more on the spot market in terms of ethanol. Could you share with us how you plan to manage the hedge program for that bioproducts division? And any color in terms of forward read you could give on that business, that would be really helpful.
Juan Ricardo Luciano: Yes, if you recall -- nothing specifically to point my finger on. Last year, in December, we had a very bad year. And we held a call to arms, in which we put everybody to review every step of the operation because last year inventories were very high, margins were very low, so we really needed a big intervention from management on how to turn around that business. So we looked at everything. And it's not that we had a particular weakness. It's just we looked at the risk management, the procurement, the transportation, the manufacturing, the distribution, every step of the chain, and we implemented the battery of actions in all those. And all those with a different intensity in different times of the year had been reflected in the improvements that we've seen in 2013, that plus the industry that obviously improved. So I wouldn't have -- I wouldn't put my finger in any particular thing, other than an overall improvement through the chain in the way we manage the program. And great kudos to the team that has done a fantastic job. And it's the same team that will handle '14, so we're very optimistic.
Operator: And your next question comes from the line of Michael Piken with Cleveland Research.
Michael Piken - Cleveland Research Company: I just wanted to talk a little bit more on the ethanol side. You guys talked a little bit about the potential for some growth opportunity for E15 and E85. And I'm just wondering what some of the new capacity or, I guess, previously idled capacity coming back online. How much do you see E15 and E85 maybe growing in '14 and, really, over the next couple years?
Juan Ricardo Luciano: Yes, Michael, listen, we're very encouraged by the recent improvement in the number of stations that are dispensing E15. It's obviously a slow process. We predicted it was going to be a slow process as maybe was E10, but we've seen the number of stations doubled recently to about 60 or 70 on a national basis that are dispensing E15. We see the number of stations dispensing E85 being in the 3,000. So we've seen some news about some of the gasoline distributors about embracing E15. So we think that gasoline -- ethanol being the lowest cost transportation fuel right now and as people realize that if they price it correctly, they can get market share and they can entice the consumer to use it, we think more and more will continue to happen. And the propagation of that is inevitable as -- because there is economic reason for that. So we're optimistic. It's very difficult to call a rate on something that we don't have control. So we just can only work with our partners to support that introduction. But we are very hopeful about and very optimistic and very confident, given the recent news.
Michael Piken - Cleveland Research Company: Okay, terrific. And just shifting gears a little bit, I mean, over the last quarter, there was some news about China rejecting some shipments of some U.S. corn. And I guess as you think about your Ag Services business, I mean, how much does that impact that segment of your business? And I mean, I guess now they've sort of specified which variety of the corn that they're not looking to take at the moment. But how does -- did that have any impact on your 4Q results? And is that something you can manage through or how do you handle that?
Juan Ricardo Luciano: Yes, Michael, the impact was rather small in Q4, but we had an impact. Certainly, it's not business as usual anymore. Our team has worked very diligently in this. We are working very close with the farmers to encourage them to understand exactly what they are planting, working closely with them on understanding whether they're going to be delivering in every location, having all the stewardship programs in place, reviewing also some of the contracts to make sure that we have the proper tolerances to what we can deliver. So we'll probably increase the intensity in which we are looking at the whole process and how vigilant we are. But I will say we didn't have a significant impact in Q4.
Michael Piken - Cleveland Research Company: Okay, great. And then my last question is just with respect to Argentina, with a lot of the farmers sort of holding back the sales of soybeans over the last 3 months, how do you think about how that will impact your North American crushing margins once some of those soybeans start heading to market? And I guess, taking a broader look, I mean, do you think that could create some headwinds in '14 or do you think that the U.S. demand is strong enough for your products that, even if there is more competition from Argentina later in the year, that your margins can hold?
Juan Ricardo Luciano: Yes to both. Yes, when Argentina brings all that capacity to market and produce the meal, certainly, they will try to export it. So that will put some pressure on either Europe or even the export demand that we're seeing from the U.S. But we continue to see very strong demand continue to grow then, and we need every bean out there to try to satisfy that demand. So it's a little bit of both, to be honest though.
Operator: And our next question comes from the line of Eric Larson with CL King.
Eric J. Larson - CL King & Associates, Inc., Research Division: The first question, I don't know if Pat is still in the room, but probably the combination of Pat and Juan, but, Pat, you've done a really good job in getting those returns up in the company and a focus on returns. And you've indicated and shown and displayed that you are willing to divest low-return, either strategic or even non-strategic, assets in your process going forward. Can you just talk a little bit about where you are with that, what you see as more opportunity for ADM to improve their returns via maybe the divestiture thereof of some low-return assets?
Patricia A. Woertz: Yes, Eric, the -- I think you're right that we think what drives shareholder value is a combination of earnings growth, strong capital returns and a compelling strategy for growth going forward that is a value-creating growth. So I think the changes that we've implemented, that Juan and the team have implemented, that Ray and the team have implemented, related to focusing on returns and looking at an economic value creation, is really both -- on both sides of sort of a portfolio look. Those areas with strong returns, what does the future of those areas look like? Is there ways to expand? As well as those on the lower end, is this just a secular issue? Is this something that, forward look, can't be changed? And everything is under review. So I think it's a more detailed granular global look at individual businesses that everything is on the table for the opportunities ahead, and that can include some portfolio changes. Maybe I'll ask Juan to comment on how that gets implemented with each business as they're looking at this going forward, but I think there's a very strong emphasis on overall portfolio management for the ability to get returns that are -- our objective is 200 basis points above WACC, to do that over this cycle and to be able to create that value with the larger portion being in higher-returned areas.
Juan Ricardo Luciano: So, Eric, Pat just spoke about the granularity of our approach. And I think very simplistically, I think, if you think about the strategic characterization of our portfolio, making sure each individual business understands what is the most value-creating strategy for them going forward. For some of them, it's improved profitability with a sense of urgency. For some of them, it's to grow. It depends on how are they in -- respective to their delivering against WACC. So I think it's very important to have that. So you don't have everybody trying to chase growth or everybody curtailing growth because it's looking at profitability. We are a large company, we are a complex company, and we need to manage the portfolio with that level of granularity to be maximizing value creation.
Eric J. Larson - CL King & Associates, Inc., Research Division: Okay, good. A more specific question. The futures curve, you talked about historic basis in corn, particularly corn in the fourth quarter. Now that curve has flattened out quite a bit in January. And we're starting to see estimates of 93-plus million acres to be planted this year. And obviously, the incentive is coming down pretty quickly for farmers to hold on to their corn. And they're going to need to get some cash in their pocket to pay for some input costs here pretty quick because planting is 60 to 90 days around the corner here. It doesn't -- it seems to me that you really can't go much beyond toward the end of the first quarter or maybe the start of the second quarter before you start seeing this corn free up, unless there aren't the merchandising opportunities on the export side, et cetera, that create the impetus for them to release those crops. So I guess, the question is, timing seems like it should be more in favor given the futures curve to release some of those. And what is the outlook for corn exports given the Ukraine and Argentina and Brazil and the competition for that and then, obviously, the disruption in the Ukraine? It's a big question.
Juan Ricardo Luciano: Yes, no, that's all right.
Patricia A. Woertz: It's all over the world there.
Juan Ricardo Luciano: Yes, Eric, as I look at corn, certainly, at the moment, good export demand, we continue to see good export demand from the U.S. So that's offering support to corn. Certainly, you see the resistance on -- coming from the side of the farmer selling. And as you said, at one point in time, they need to sell to get some cash. I think that there is some expectations, as you mentioned, on the acreage that maybe the farmers think that for corn to buy some of those acreage out of soybeans, it needs to rally a little bit, and maybe that's the last hope that they are trying to hold to their grains to. A farmer is very well capitalized. They don't need to borrow. So at this point, they've seen higher prices. Obviously, corn dropped much more than soybean recently. So they just -- they don't like the current prices, and they are waiting.
Eric J. Larson - CL King & Associates, Inc., Research Division: Okay, yes. Well, I mean, there's obviously no incentive to hold beans. And again, you do have a positive basis yet. There is a basis in corn, but it's -- obviously, it's come down a bit in recent weeks. So it just seems, at some point here, that, that's going to open up for them.
Juan Ricardo Luciano: Yes.
Eric J. Larson - CL King & Associates, Inc., Research Division: But the other -- just kind of the final question that I have -- I could ask a lot of questions. But when you look out for the kind of the domestic soy crush, given the disparity in the protein markets today, very high beef pricing, relatively high pork pricing and chicken being a very favorably priced meat protein, is that really an overriding key factor that should keep your domestic meal demand pretty strong?
Juan Ricardo Luciano: Yes, we're seeing it the same way, Eric. To be honest, I mean, it's been strong, and it continues to be strong. So we're very optimistic about our crushing going forward.
Operator: And our next question comes from the line of Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Just have a couple of questions left. Could you just tell me what -- in your $0.95 calculation, what was the tax rate you had in the quarter?
Ray G. Young: Well, for the -- as you know, on a reported basis, it was a higher tax rate because of all the valuation allowances, et cetera, et cetera. When you actually back out all the special items and the valuation allowances, we were actually running around a 30% rate for the quarter.
Vincent Andrews - Morgan Stanley, Research Division: Okay. I'll follow up offline because I was getting closer to 25%. And then maybe, Pat, on this EPA issue with ethanol, I know the common period has just ended or it's about to end. And from what I'm reading, it sounds like there's likely to be some litigation and so forth. But you guys are -- make a lot of money in a quarter. I think the fiscal [ph] sets the most since '06. Export market is good. Corn is cheap. You have incentive there to use E15. I mean, if this EPA ruling, in the end, doesn't go your way, how upset are you?
Patricia A. Woertz: Any time the government makes a plan and you make investments related to that plan, you're disappointed if they change the rules in the game. But I think, to your point, economics are kind of the rule of the day, and economics generally override what is even -- or some of the demand assumptions. I think with E10, and at least you figure -- that's going to grow to the 13 billion, 13.4 billion gallons. Juan mentioned E85 had some growth, so does E15. Exports could be 500 million to maybe 1 billion gallons we've seen in some given years. So I think you see a market that, potentially, economics could just use up all the production, which is what you'd like to think would be the case that we saw marching toward 2015. So maybe you even get a little bit of that movement occurring here in 2014. So no, you don't like to see the rules of the game change, but again, economics, at the end of the day, are kind of what seems to be the ruling factor.
Vincent Andrews - Morgan Stanley, Research Division: And do you have a sense in what the -- sort of what -- let's assume EPA makes the ruling final. What are the stages of litigation? How long do you think it would take to sort of move that issue through the courts? I mean, what court would it go to?
Patricia A. Woertz: I probably am not an expert to comment on that at all. I think the EPA has indicated something about the summer now being their -- the timing of this. So maybe you'll find that life just goes on without any comments from them. And where litigation goes from that, I wouldn't comment.
Operator: And your next question comes from the line of Andrew Russell with Macquarie.
Andrew Russell - Macquarie Research: Yes, just continuing on oilseeds prices and wheat on demand a bit earlier. But there are reports of competitors closing soybean crushing plants in North America, based on weak U.S. soy meal demand and, obviously, a big soybean crop in South America. Could you maybe just hit a bit further on sort of how demand is playing out locally, maybe specifically in the [indiscernible] sector?
Juan Ricardo Luciano: Yes, I think that -- Andrew, this is Juan. We -- I remember, a couple of years ago, we suffered really with low capacity utilization in North America as South America had a very big growth. And we went through a sort of review of our facilities, and we actually shut down some of our facilities. So we are very happy and content with where our facilities are placed and the integration that our facilities has in terms of having crushing and refineries and all that. So at this point in time, from a demand perspective and also from an availability of beans perspective, we are very happy with our footprint, and that's reflected on the results. We see demand, going forward, continues strong. We are working very close with our customers not only in standard products but also in more specialty products, as I mentioned before. So I think the team is in a very good place in North America.
Andrew Russell - Macquarie Research: Got it. And maybe just secondly, following up, you pointed to strategic M&A opportunities, you're able to increase your holding in GrainCorp. Could a tie-up perhaps with a local operator bring that deal back to the table?
Patricia A. Woertz: Well, I'd be disappointed, Andrew, if I didn't get a question on GrainCorp, particularly with your accent. I think the strategic rationale for ownership in GrainCorp remains the same today as it did before with -- it's a good business location, strategic region, proximity to Asia. We're pleased with our current ownership stake and have no plans to sell it at this time. As you may know, though, GrainCorp is going through -- and we're very respectful of our process as they identify a new CEO. They have an interim CEO. So we'd like to work with them and create value for both companies. But I won't comment on any increase in stake at this time. We're evaluating that option, and they're in the process of making a change at the top, so I'll leave it at that.
Operator: And we do have a follow-up question from the line of Robert Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: A quick question. In the slides, I think you said that warm weather in Europe was a positive for your biodiesel demand, and I wasn't quite sure why that would be the case.
Juan Ricardo Luciano: Well, normally, it's just the driving season and also the difficulties of dealing with biodiesel in very cold weather. Early in the quarter, the weather was seasonally a little bit warmer than expected in Germany at that point in time.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. So it's just ease of use and also driving? Okay.
Juan Ricardo Luciano: Exactly, yes.
Operator: And we have another follow-up question from the line of David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: Ray and Juan and Pat, but starting with Ray, when I look at the cash balance and the total debt and RMIs, effectively, it's a net cash balance sheet, an extremely clean balance sheet. I think the -- I forget exactly what the share repurchase, the 18 million shares, is like $700-and-some-odd million in 2014, a $1.4 billion CapEx expenditure is very trivial in respect to the cash that was generated by the firm and the size and the quality of the balance sheet right now. Bottom line here, it just feels like you have the capacity to do a lot of things that, perhaps, you haven't really talked about. Maybe you can't because it's M&A focused. But I'd just like you guys to spend just a couple of minutes here. It's been a long time since I've seen a balance sheet this strong for ADM. You look like you have the potential for something big. Following GrainCorp, what's the amount of assets that you see out there that are potentially available for sale?
Ray G. Young: Well, let me start. First of all, we acknowledge the balance sheet is pretty strong as of the end of 2013, when we developed a capital plan for 2014, we reflected upon the cash that we're going to generate in '14. And we want to make sure that we -- with the cash generated in '14, that we provide a balanced approach in terms of returning some of it to our shareholders, and some of it we're going to reinvest in the business. But effectively, we're preserving -- through the 2014 capital plan, we're still preserving effectively the year-end balance sheet of 2013 for us to undertake strategic initiatives. And it's important for us to do that. I think, as you know, we still want to grow the business. There are opportunities geographically that we want to look at. But we're going to be very prudent about that. We're going to be very careful and make sure that these are investments which continue to generate good long-term returns for our company. Let me turn it over to Juan.
Juan Ricardo Luciano: David, as we look at opportunities, certainly, this is an industry, from a grain perspective, of relatively high capital intensity and low margins. So you need to make sure you are very prudent in how you invest this to make sure you return the cost of capital. So in that area, we're looking at mostly consolidation plays. So -- and so we don't want to add that much capacity, but consolidation plays, we think, is something that we can take advantage of. Plugging those assets into our system, they benefit, we benefit, I think the shareholder benefits. In terms of other M&As, we have many growth projects, internal growth projects, but we are looking also to -- for some specialty products that are very synergistic with our product lines, as we go around the world and work with our customers and see whether they are getting new regulations and new trends that they need to fulfill and whether we can fulfill them with our products, we develop those products. But when we can, we are looking to add that to continue to keep those customers satisfied and buying from ADM most of their purchases.
Patricia A. Woertz: Maybe I'll add then, David, to your point, I would agree that it's been -- it's a very strong balance sheet. And to build on Ray and Juan, both, what we've talked about in terms of a balanced capital plan for next year, it's really the $1.4 billion includes sort of smaller M&A and as well as the growth projects we've talked about in maintenance and our new ERP project that we call One ADM [ph]. But we can also be able to look at strategic M&A, and that doesn't mean one that has -- doesn't have good returns. I think we've shown discipline. We've looked at assets that need to meet our return hurdles and maybe expanding beyond just consolidation, but some of these specialty products, et cetera, we have the capability to do that and do it smartly if the opportunity is there.
Operator: And at this time, we have reached our allotted time for questions. And I would like to turn the call back over to Patricia.
Patricia A. Woertz: Very good. Well, thank you, everyone, for your attention today. If you turn back to Slide 15, it does show our upcoming investor events. Please follow up with Case if you have any further questions or details today, and thanks again for your time and interest. Bye now.
Operator: Well, ladies and gentlemen, this does conclude today's conference call, and you may now disconnect.